Jesper Hatletveit: Good morning, and welcome to the third quarter presentation for the Norwegian Group. My name is Jesper Hatletveit, and I am the VP of Investor Relations here at Norwegian. Today's presentation will be held by our CEO, Geir Karlsen; and our CFO, Hans-Joergen Wibstad. The presentation will be followed by Q&A from the audience and the web. Please go ahead, Geir.
Geir Karlsen: Thank you very much, Jesper. Good morning to all of you. Good to see you. Also good morning to you listening in online. Let's start with some highlights for the quarter. The third quarter ended as a good quarter for the group, both for Norwegian and for Widerøe. We ended the quarter with an EBT of NOK 2.891 billion, the EBIT of NOK 3.071 billion for the group divided on Norwegian with an EBIT of NOK 2.797 billion, and Widerøe also contributing very well during the quarter with an EBIT of NOK 274 million. This is a significant improvement compared to the same quarter last year. There we -- this year ended with a margin of 25.1% versus 18.4% last year. It's an historic high quarterly EBT and EBIT for the group. Also, unit cost, excluding fuel, down 6% year-on-year. And Program X is really starting to deliver. We have done quite a few things on the fleet side. As you know, I'll come back to more details on Program X later in the presentation. We have had some tailwind on macros, not at least on the U.S. dollar compared to the Norwegian krona. As mentioned, Widerøe really delivering this quarter. Passenger records in the third quarter with a 9% passenger growth compared to the same period last year. Widerøe has also been having a solid operation during the quarter with a high on-time performance as well as a high regularity. EBIT, up NOK 82 million year-on-year, and as such, a really good quarter as well. Especially very nice to see that the commercial network in Widerøe is delivering well, and that has been something that we have been looking forward to and now we are seeing a good performance. Finally, Widerøe is now a member of Norwegian Reward, and we do expect an effect from that as well in the weeks and months and years to come. Norwegian is also delivering well on operations, very few cancellations, and we are still ranked among the top European airlines when it comes to operational excellence and on-time performance. Net Promoter Score is close to 50. That is a constant battle to make sure that we are offering a good service to our customers. And this is also an opportunity to give a big thank you to all the flying crew, especially, and our colleagues taking care of our aircraft during a very hectic high season during the year. We are still capturing corporate, let's say, market share on the corporate side of the business. Spend is expanding with more activities, more numbers, and we are really looking forward to onboarding live the Reitan Group, which will hopefully happen by the end of this year and at the latest during the first quarter of 2026. We are continuing to receive awards. The latest one was the best -- as the best European airline at the Danish Travel Awards just a couple of weeks back. That shows that our customers are really appreciating the product that we are offering and the network that we are flying. We used the quarter as well to declare the 30 options that we have been talking about for quite a while, and we now have a firm order of 80 Boeing 737 MAX-8 that will deliver from now until the end of 2031. We have done some small amendments to the delivery schedule for these 80 aircraft, aligning it with the growth path we would like to have and aligning it better with the redeliveries that we have or part of the current fleet that are leased. Boeing is really delivering aircraft these days. We have already taken 12 aircraft so far this year out of 13. The last one, the 13th, will be delivered during the very next days. So it's really nice to see that the production line in Boeing is working well these days, and that is what we expect also for the months and the years to come. Balance sheet wise, we paid out our first dividend in history during the quarter of NOK 0.9 per share to our close to 75,000 shareholders; very also nice to be able to pay down the legacy bonds and good to see that the Norwegian government that really helped us through the pandemic has got back their money with a nice positive nominal return. We also used the quarter to buy back more aircraft. So this quarter, we bought back 3 aircraft of the aircraft we are currently flying, booking a nonrecurring gain as well as a recurring gain for the years to come. Looking at the traffic figures. 7.6 million passengers during the quarter between the 2 airlines. On load, the load is more or less on par with what we saw in the same quarter last year. But passenger wise, we are up 3%. Again, very good to see the solid performance operationally by Widerøe with a punctuality of 91.8% and the regularity of 98.2%. Normally, we are seeing in Norwegian a reduction in punctuality in the high season, which is very hectic. And it ended this quarter with 77.8%. It is actually up 3.6% compared to the same quarter last year. Regularity, 99.3%, continues to stay strong and stay high. That is also due to hard work from a lot of colleagues in Norwegian and Widerøe. Traffic figures. Again, we have a 2% increase in capacity, record high unit revenue. As mentioned, we are up on yield, and we are marginally up on load. And very nice to see the strong September with a load of 86.5% and a yield of 0.91. We are also seeing solid demand for the months to come into the winter season. A little bit of the same for Widerøe. Really strong quarter, 1.125 million passengers, 9% up compared to the same quarter last year. Very stable load with increase in number of passengers as mentioned, and also a couple of records during the 4 last months, 1 passenger record on a monthly basis in June, as you can see, which was actually beaten marginally, though, in September. We are continuing to see an increase in the interlining traffic between Norwegian and Widerøe. It's up 30% over the last 12 months compared to the previous 12 months. And again, Widerøe contributing with NOK 274 million in EBIT, up NOK 82 million year-on-year. What we have done this quarter is -- or this summer actually is to align the 2 networks in a better way, meaning that Widerøe has been flying more domestically compared to earlier years, freeing up 737s in Norwegian so that we can put that capacity into the summer, typical summer leisure destinations. That is probably something we will also do going forward and to optimize the network between the 2 airlines in such a way. Also, again, Widerøe, finally, part of Norwegian Reward. We have an ongoing top-tier status match between Widerøe -- between Norwegian Reward. The Strawberry club as well as, of course, EuroBonus. Booking figures. As you can see on the top right-hand side of the slide, this is the 7-day rolling sale figures on number of passengers. As you can see, the 2025 curve is more or less aligned with 2024. So we're seeing the same development. We are going into this winter with 5% less capacity than last year. So we feel that we have aligned now the capacity with how we are optimizing the networks. And we think that this is the right capacity going into what you can call a low season. As per today, we have sold more tickets compared to the same date last year. And as such, for all months from November to March, we are today higher on load and we are also higher on yield. So the winter season, the low season, I would say, is looking comfortable. And then we will see how this is going to develop over the next few months. Hans-Joergen.
Hans-Joergen Wibstad: Thank you, Geir. Good morning, everyone. Great to see you here. So I will go through the quarterly result in somewhat more detail as usual and also go through the balance sheet where there has been quite a few changes during this quarter, both due to the aircraft acquisitions, but also things that we have done on the debt side and equity side. Like we said, so the group had a good revenue growth of -- at -- up 6% to NOK 12.3 billion during -- compared with last year and also Widerøe contributing very nicely with NOK 2.1 billion. That is driven, obviously, by a very good strong traffic across the group with both capacity up by 2%, total unit revenue up by 4%, which is a really important KPI, and I'll come back to that in a minute. And also, it's marginally higher load. And as Geir said, the Widerøe is delivering also a solid top line development. The quarterly result is really strong this quarter as you have -- many of you have noticed already with a group EBIT of NOK 3.071 billion, which is an improvement from approximately NOK 2.1 billion in the same quarter last year. So a really big lift there, and that's driven by a few things that I will revert to later in the presentation. Operating margin to 25.1% and with Norwegian contributing approximately NOK 2.8 billion versus NOK 1.9 billion last year. And also, as was mentioned, a very, very strong contribution by Widerøe delivering NOK 274 million versus NOK 192 million in the same quarter last year. So Widerøe with a strong performance, also, as we talked about earlier, a bit of a slow start on Widerøe in the year, but have really picked up and delivering a solid result and actually improving quite a bit from the third quarter of last year. The aircraft fleet initiatives is really -- we're leveraging on that this quarter. We acquired 3 additional aircraft, bringing the total number of aircraft that we have actually purchased this quarter -- sorry, this year to 14 and bringing the total fleet to 17 aircraft that we own. So we started the year with 4 and now we are at 17, and that's part of the strategy to own more aircraft. And I think we've been able to leverage that very nicely in the quarter, which also is contributing with a gain relating to the reversal of kind of lease liabilities in our balance -- in our P&L, which we also saw the same -- impact we saw also in the first quarter with the 10 first aircraft. Unit cost at NOK 0.42, a reduction of 6%, very happy with that as well. I think we're happy with the cost control. We have seen -- like Project X, we've seen -- Program X, sorry, we've also seen other initiatives, which enables us to have very good cost control. And of course, with the aircraft fleet initiatives also contributing to the good unit cost level. It's a quarter with a lot of balance sheet changes, as we have talked about with -- but we're coming out of the quarter with a liquidity position of NOK 10.5 billion. We have done the bond repayment. We paid the dividend. And also, we've added 5 leased aircraft. And also, we have -- the aircraft that we have acquired also has an impact on the balance sheet. But all of -- the whole exercise is coming up just as planned, and we're coming out with a robust cash and liquidity position. As mentioned, very happy to finally announce then the dividend that we talked about during -- over several quarters that we were working to achieve -- to get in that position. And we were able to do that through the repayment of the legacy bound. We call the retained claim bonds. We repaid ordinary NOK 1.5 billion and deposited the other NOK 1.5 billion, and then we were able to get ourselves into a dividend position. And that is hard work and good planning. And we're happy that, that process, which we started at the beginning of the year ended in a very good way. The first phase of that was obviously to retire the hybrid convertible bond in the second quarter. And then the last bit of that was obviously the retained claim bond and also the dividend payment that we ultimately did in August. Just a few more details on the top line. Obviously, we can see that the -- it's a very nice increase in Norwegian, 5%, driven by volume increase, yield increase of 3% and then load factor marginally up by 0.3 percentage points and bringing us to NOK 10.2 billion. And then with Widerøe contributing with NOK 2 billion, driven by very strong growth figures on the passenger side, and the total revenue then at NOK 12.2 billion or NOK 12.3 billion for the group. Going to the EBIT bridge that we normally go through, we can easily see here the contribution from the volume impact, the increase in yield and load for the quarter, contributing a combined NOK 361 million. Then a fuel price, obviously, lower fuel price, lower U.S. dollar, but countered by higher ETS costs and also on the SAF blending mandate, which has a negative impact. But overall, fuel price and fuel contributing positively. We have the normal kind of underlying inflation and FX impact, NOK 245 million negative, other gains and losses, which is the balance sheet adjustment to the -- relating to the FX adjustment. And then we have the relatively large impact of NOK 528 million on depreciation and amortization of lease, which relates to the reversal of the lease liabilities on the NOK 269 million on the 3 purchased aircraft. We have delayed compensation relating to the delays that we have experienced with in the past. And also, finally, there are a number of other factors, including FX wet lease, the fact that we now own more aircraft. So it's a combination. But in total, that is contributing NOK 528 million. Positive, bringing Norwegian EBIT to NOK 2.8 billion approximately. And then Widerøe with a very nice increase, NOK 82 million, up from last quarter -- or same quarter last year, to NOK 274 million, and then the total EBIT to NOK 3.071 billion. I will not repeat all the numbers on the P&L because I think we've been through it all. For the most part, revenue up by 6%, obviously, to NOK 12.252 billion. Personnel expenses not a big increase. Fuel obviously impacted, as I mentioned earlier, on the ETS allowance and also the SAF mandate, but at a pretty flattish level. Airport charges and ATC charges up 15%, quite a high increase, and we have talked about that in earlier quarters. We've been able to reduce that somewhat through smart routing and other measures. So that's -- it's good to see that this number was actually -- the increase in the second quarter was higher than in the first quarter. Handling charges, pretty much on par with last year. Technical maintenance, actually down. So in total, I think we're quite happy with the cost control that we have this year. We're seeing that the developments are -- that our efforts in Program X and other measures in the company is paying off. On top of the of course, impact of the fact that we're buying aircraft that we have previously leased. So that's -- I will not repeat the positive deviation on the depreciation. But it's clearly aircraft purchases, higher share owned aircraft FX and delay compensation, and then the EBIT of NOK 3.071 billion. Net financial items, slightly up due to higher share of owned aircraft. We have our own financing for that, and we have also been able to finance in a very, very good way, the new additional, the 3 aircraft. So all the 13 aircraft that we've acquired has been financed on very favorable terms for us, but we're seeing that the net financial items increased a little bit because of that. And then we have a profit before tax of NOK 2.9 billion. And then we, as we did in the second quarter, have started to have a tax expense of NOK 342 million, bringing the net profit for the quarter to NOK 2.549 billion. Again, we're coming out to all the things that we have done in terms of preparing the balance sheet for the future. With all the exercises we've done, we're coming out with a robust balance sheet. We're seeing that the total asset goes up because we have taken more deliveries and also own the aircraft more. So that's going up by approximately NOK 2.3 billion. We have the use of the cash to pay dividend, to repay the bond, and also we have also done predelivery payments relating to the exercise of the options of nearly NOK 0.5 billion. That brings the cash down, but the total liquidity is at a very, very good level, and we're happy with that. And of course, you can argue that a couple of quarters ago, we -- our cash was very, very high. We knew that what we were going into and what we're seeing now is exactly what we have planned to happen. On the debt side, a bit of the same picture with additional of aircraft, adding debt to the balance sheet, but also repaying the bond, which is helpful. We're seeing that the aircraft traffic settlement liabilities is down, which is seasonal, quite normal, but very happy to see that the aircraft traffic liabilities, which is the prepayment of tickets is up 4% year-over-year compared with last year, which is kind of proof of the pudding that we have good booking momentum compared with last year. Last point on the balance sheet is the equity ratio, which is healthy and going up from 12 -- 13.4% last quarter to this quarter at 18.3%; a good development. On the net interest-bearing debt, obviously, going up by NOK 3.5 billion driven by the dividend, PDP and also the additional -- addition of aircraft, both owned aircraft as well as IFRS or leased aircraft, but at a very manageable level. You can -- the corporate debt of the business is down a lot this year because we're about -- so the remaining debt in the company effectively now is aircraft financing, whereas we went into the year with both a convertible bond, and we had the retained claim bond. Now we are essentially a debt-free company with the exception of the aircraft financing, which is a good thing, and that has been our objective over the last couple of years to get in that position. Dividend, we talked about that. PDP, which is prepayment impacting our net interest-bearing debt and acquisition of the 3 aircraft. So lot of things happening on the balance sheet, but all in a good and controlled way, and we're coming out of the quarter with a strong and solid balance sheet prepared for the future. Cash flow, no need to repeat everything that we talked about earlier. But obviously, seasonal ticket prepayments going down, NOK 2.9 billion; strong cash flow from operations. We have purchased the aircraft, the 3 aircraft and also then the deposit on the bond, NOK 2.9 billion. And also on the financing activities, we've repaid the bond part -- half of the bond. We have done the leasing, we paid the dividend. And also finally, we have financed the 3 aircraft that we acquired in earlier this summer at very attractive terms. So happy with that. Final comment on the -- what's not on the balance sheet. The cash is ending at NOK 7.9 billion approximately. What's recorded as financial investments now is fixed income fund at NOK 1.1 billion, effectively cash, but still recorded as financial investment and the deposit for the repayment bond. The prepayment, we're in a good position in terms of our commitments for payment of PDPs going forward; increased, as I mentioned, NOK 468 million in the quarter relating to the exercise of the 30 options. And we have a very, very good position as we are remaining prepayments relating to the aircraft order is less than NOK 0.5 billion until the -- by first quarter of 2028. And even going beyond that, it's a very solid position. So in terms of financing of the order of 80 aircraft, we are in a good position and have prepaid most of what we need to do as we move forward, and the financing market for those aircraft is very good for us. So with that, Geir?
Geir Karlsen: So some final words. As we all remember, Norwegian exited out of the pandemic with 51 aircraft. We have grown the fleet into the next summer, taking it up to 95, 96 aircraft. So as such, we have close to double the fleet, and we have done that in a profitable way every year. Widerøe has been investing heavily into capacity in Bergen. That is now turning into a big success as we see it. Widerøe and Norwegian is today covering 60% of the total number of seats in and out of Bergen. Back in 2017, Widerøe had 1 international routes out of Bergen. Today, Widerøe have 10. And together with the 24 in Norwegian, we are now offering the population in Bergen and the surroundings connectivity that we haven't seen in a long time. And as such, Bergen as a kind of a hub is important for Norwegian in Norwegian, and we really hope that the population at Bergen will appreciate the increased offering. And as we say in Norwegian, why connect, when you can fly direct? A little bit of the same is what we have done in Denmark. And as you can see on the left side here, it's nice to be Norwegian in Denmark these days. And we are putting a lot of capacity now into Billund, trying a little bit of the same as we are doing in Bergen seen from a Norwegian point of view, where we are -- have already launched 10 new international routes from Billund to the rest of Europe. And we are also giving an offering to the population in Billund and the surrounding at Jutland. And have in mind that the catchment area in Billund is more than 2 million people. And again, why connect when you can fly direct? So now we are giving an offering to the people in Jutland and to the rest of Europe that you haven't seen in a while. Also, Best European Airline at the Danish Travel Awards. And we're also happy to see that we won the tender given by the Danish government to fly more sustainable in a period from March 2026 until the end of 2027, where we will fly approximately 3,500 flights with a 40% blend of SAF into the wing subsidized by the Danish government. This is the first ever government tender of this type in EU. This is the way the Danish government is now trying to make sure that we can fly more sustainable. And seen from Norwegian's point of view, we are definitely looking forward to this, and we hope that the Danish population and the passengers will appreciate the fact that you now have a chance to fly more sustainable. Fleet, I think we have covered most of it. But have in mind that even if we take delivery of all the 80 aircraft that we now have on order, the growth we are seeing over the next years is, I would say, moderate in the area of 4% to 5%. So in that sense, it's more of a fleet renewal than an aggressive growth. And as you can see, we are now building the 737 MAX fleet and there we are going to reduce the older aircraft, the so-called 737 NGs. And by that, been offering an aircraft that is burning significantly less fuel and also gives a better experience seen from the passengers’ point of view. Again, as Hans-Joergen said, we have continued to buy out, I would say, relatively expensive leased aircraft, relative. And then we are gaining -- we are booking a gain of NOK 270 million in the quarter. So what we are thinking now is to find the right balance on aircraft that we are planning to own compared to what we are going to lease seen up against the cash flow as well as the dividend capacity we would like to continue to have in the quarters and the years to come. We intend to continue to pay dividend in Norwegian. Even if we have ordered 80 aircraft, we have a lot of optionality during the years to come because we have still a quite high portion of the fleet that is leased. We can decide to redeliver all these leased aircraft when they mature or we have always the option to extend them. And in that way, we have optionality with regards to growing the fleet in line with how the market is developing. And the financing terms we are receiving these days are the best that Norwegian has ever seen before. Program X. We are not giving a lot of details on Program X this quarter. We are planning to do that in 2026, and have in mind that the program is going to give in excess of NOK 1 billion increased profitability, sustainable for the years to come compared to a base case coming out of 2024. And that will take the company into an EBIT margin that we feel will be sustainable and that we feel will be then competitive also to other airlines or to the best-performing airlines in the market in Europe. So what have we done so far in 2025? We have done a lot on the fleet side as we have been through in very much detail. We are continuing working to have a high on-time performance. High on-time performance is, first of all, very important for the passengers. It's very important for the efficiency in the airlines. And it's definitely very important on the cost side of the business as well. It's very expensive to not be on time. And the performance in Norwegian over the last years has been good, in my opinion. And it's hard work every single day to make sure that we can keep that on-time performance in both airlines and to compete with the best airlines in Europe. New distribution platform is coming online and live very soon, which also gives us the possibility of doing what I call proper interlining. The first one will be with Widerøe, but it could also be potentially with other airlines. We are also working on realizing the synergies between Widerøe. We have already been merging so-called support functions, including customer care, IT and communication. And we are constantly then working on taking out other synergies as well, not at least on the network side, which I have mentioned broadly -- have mentioned earlier in the presentation. We are constantly working to be efficient to keep the cost level in the company as low as absolutely possible. And based on what we have done so far in 2025, 40% of this is recurring effects that we will have every year going forward. Other areas that we are working on operations. Asset performance, we have still opportunities there. Fuel side is a very high cost element in both airlines, and we are doing measures there as well to reduce the total cost of the fuel. Crew and aircraft efficiency is another big area where we have been doing -- where we have been investing into better tools to make sure that we can optimize how we rotate aircraft and crew around in the network. Overhead rightsizing in both airlines and in combination between airlines is something that we are in the middle of as well as investing then into automation, into AI and tools that can increase efficiency in both airlines and between the airlines; as well as the top line, obviously, interlining has been mentioned; and potential partnership is also something that we are exploring and hopefully, we can share news. So when we are coming into 2026, I hope we can give you a much more detailed overview of Program X. And hopefully, we can increase the target of NOK 1 billion in underlying profitability as such for the years to come. Outlook. Capacity, 3% up in 2025. In Q4, we are taking capacity down 3%. We are also reducing capacity, as mentioned earlier, in the first quarter of 2026. But for 2026 as a whole, we have 3% increase in capacity. Over the last year, we have been guiding on the unit cost exclusive fuel. We have been stepping that guiding down over the last quarters, and we are doing that again this quarter, guiding then the unit cost down to a flat unit cost compared to the whole year of 2024. That ends the presentation.
Jesper Hatletveit: I ask you guys to come up again. We'll then start with questions from the audience.
Unknown Analyst: You have previously talked quite extensively about the problems with increased airport and ATC charges. Recently, we have seen some of your competitors in Europe threatening to reduce capacity quite significantly at some airports due to the increasing charges. In your opinion, are things getting worse?
Geir Karlsen: Good question. I think what is important is that the airport charges as well as the Eurocontrol fees, as you mentioned, is kind of increasing in line with the market. What we are seeing in at least part of the Scandinavian market is that airport charges increasingly massively more than the inflation. And as such, it's more expensive to fly. That also applies to the market here in Norway, as we have been mentioning also in the media over the last week. So that is a concern. And it is a fact that Norwegian is actually not growing that much in Norway anymore. Part of the reason is exactly what you are saying. So I think it is very important that we can find solutions with -- in this circumstance, Avinor, to make sure that we have a sustainable growth in the capacity as well as the growth in fees. So that is definitely a concern in Scandinavia and in the rest of the market in Europe.
Petter Nystrøm: Petter, ABG. A follow-up question on that one. How do you see the cost inflation going into 2026? You talk about the airport fees and those sort of things. I mean the largest drivers, how do you see those developing into '26?
Geir Karlsen: I think the area I mentioned here earlier, the airport fees, Eurocontrol fees, fuel, the total fuel costs when we are going now into a period where we are kind of give -- we are not having the free quotas anymore, you have the blending requirements where we have to blend in 2% SAF. SAF today is 3 to 4x as expensive as fossil fuel. These are probably the main drivers increasing the cost for any airline. So our target and our goal then is to find mitigating actions to make sure that we can have savings on other areas. And I think we are showing that today when we are actually guiding the cost down to a flat cost compared to 2024, knowing that these cost elements is going massively up.
Petter Nystrøm: And then on the market, the competitive landscape, we're seeing that Ryanair is adding some capacity in Sweden and in Denmark. How do you see the overall capacity from your competitors? And how do you see the different markets?
Geir Karlsen: I would say that the competitive landscape is relatively stable, I would say. We have changes maybe going into 2026, maybe a little bit more capacity coming into Kastrup and slightly more as well into Arlanda, but not -- I would say it's not significant even if we're looking at it very, very carefully. But in total, I would say the competitive landscape is relatively stable, and it has been relatively stable as well for a while.
Jesper Hatletveit: Okay. We'll then move on to some questions from the web. We'll start with Andrew Lobbenberg. You had quite a few questions from Barclays. The order or the expansion, the exercise of aircraft options, we are going for the MAX 8 and not the MAX 10. You previously mentioned the MAX 10. Why are we now sticking to the 8?
Geir Karlsen: So we have decided to go for the MAX 8 for the options. The MAX 10 is not yet certified. We don't really know when it's going to be certified. And before the MAX 10 is going to be certified, the MAX 7 would need to be certified. So as per now, we have chosen the MAX 8. But if -- depending on how things develops on the MAX 10, we can always revisit that decision and potentially convert some of the MAX 8s into MAX 10s. It remains to be seen.
Jesper Hatletveit: Okay. Another question from him. Can you give some color on the trading in the Baltics also as airBaltic go through strategic uncertainty? With adding capacity, Ryanair withdrawing capacity, do you expect to build the Riga base or keep it steady?
Geir Karlsen: Well, we have put 2 aircraft into Riga. First, we started to fly into -- mostly into the Nordics. But today, we are also flying to other destinations in Europe from Riga. As you are correctly mentioning, airBaltic is more turning into a wet lease operation, flying, for example, a lot for Lufthansa. So this is a market we are very much looking into. And hopefully, we can grow the base and into other markets as well in Europe, not only flying into the Nordics from Riga.
Jesper Hatletveit: Okay. Last question from him. Western European airlines adding a lot of capacity to the Arctic region across all the Nordic markets really. Is this a problem for you? Or is it just a reflection of the growth in Arctic tourism?
Geir Karlsen: I think it's great what's happening into this area. Tromsø, for example, is a huge success when it comes to inbound traffic. And I think there's more than 15 airlines flying into Tromsø today. I think the capacity flying in there is a little bit too high, to be honest. It's -- but then I think that will probably adjust itself. We put up routes last winter, for example, where we were looking into how much of an inbound traffic we could have. And I think we were all surprised by a 70%, 75% inbound traffic. And it's a little bit the same you see into Rovaniemi in Finland. But I think now it's probably an issue where the hotel costs are going massively up. But it's just great news in reality where we can have kind of a counter seasonal inbound traffic coming into our area.
Jesper Hatletveit: Okay. We'll move to another question from [indiscernible]. On dividend, are you planning to pay a quarterly dividend or once a year? And if you can say something about the dividend policy, the size of it or how should we think about the dividend policy?
Geir Karlsen: We don't have a dividend policy as per se. We have paid out the first dividend ever in this company. And what we can say is that we intend to continue to pay dividend to our shareholders, then we will find a balance between the cost of capital, financing aircraft, the cash position and the dividend capacity. So that is something we will have to come back to.
Jesper Hatletveit: Okay. Moving on to some questions from Ole Martin Westgaard from DNB Carnegie. Can you please provide us an update with the remaining cost-cutting potential from Program X and in Widerøe?
Geir Karlsen: I think we have covered that saying that we plan to come with more details into 2026, and have in mind that the targets we are setting us that we are putting in place is a profitability increase coming out of 2026.
Jesper Hatletveit: And let's segue to that as well. Where are we on the synergies between Norwegian and Widerøe, you say?
Geir Karlsen: I think we have covered that as well, both on the cost side of the business and on the network side as well.
Jesper Hatletveit: Yes. And also last question for him. Industry growth capacity during the winter, how do you see our competitors doing as well?
Geir Karlsen: Everybody is reducing capacity, so are we. We are reducing by 5% compared to last year. We think that is -- I think that gives us a better performance in a low season.
Jesper Hatletveit: Okay. I'll then ask if there's any more questions from the audience.
Unknown Analyst: I can add one and that goes on the balance sheet and aircraft deliveries. Are you happy now with the 50 plus 30 aircraft deliveries from Boeing? Or do you expect to do potential more sale-leaseback transaction in the coming years? Buying back the leased aircraft then?
Geir Karlsen: If the price is right, definitely. Right now, the price is too high. And I think we did a very good deal on the 13 aircraft. So it is a balance, as mentioned. But right now, of the 25 first deliveries, which are financed, it's a 50-50 approximately between owned and leased. Also dependent on the leasing market, obviously, and the cost of the financing. I think the general plan is to have approximately 50% of the fleet owned.
Jesper Hatletveit: Okay. No further questions. So we'll conclude the session there. Thank you very much.
Geir Karlsen: Thank you.